Operator: Good afternoon, and welcome to the Health Catalyst Earnings Conference Call for the Third Quarter of 2020. My name is Jonathan and I will be your operator for this call. At the conclusion of today's call, the Health Catalyst management team will be available to take questions. With that, let me turn the call over to Adam Brown, Health Catalyst, Senior Vice President of Investor Relations to begin today's call.
Adam Brown: Good afternoon and welcome to Health Catalyst's earnings conference call for the third quarter of 2020, which ended on September 30, 2020. My name is Adam Brown. I'm the Senior Vice President of Investor Relations for Health Catalyst. And with me on the call is Dan Burton, our Chief Executive Officer; and Patrick Nelli, our Chief Financial Officer. A complete disclosure of our results can be found in our press release issued today as well as in our related Form 8-K furnished to the SEC, both of which are available on the Investor Relations section of our Web site at ir.healthcatalyst.com. As a reminder, today's call is being recorded and a replay will be available following the conclusion of the call. During the call, we will make forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding trends, strategies and the impact of the COVID-19 pandemic on our business and results of operations, our pipeline conversion rates; and our general anticipated performance of the business. These forward-looking statements are based on management's current views and expectations as of today, and should not be relied upon as representing our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. Actual results may materially differ. Please refer to the risk factors in our Form 10-Q for the second quarter of 2020 filed with the SEC on August 12, 2020. And our Form 10-Q for the third quarter of 2020 that will be filed with the SEC. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of these non-GAAP measures to their most comparable GAAP measures is provided in our press release. With that, let me turn the call over to Dan for his prepared remarks. And then Patrick will subsequently provide his prepared remarks. Dan and Patrick will then take your questions. Dan?
Dan Burton: Thank you, Adam, and thank you to everyone who has joined us this afternoon. We are excited to share our third quarter financial performance along with the other highlights from the quarter. I will begin today's call by communicating our third quarter 2020 financial results. First, let me share that I am pleased with our performance across the board, especially in light of the macro economic backdrop. To start, I am happy to report that our total revenue for Q3 2020 was 47.2 million, excluding the one-month contribution from our recent Vitalware acquisition, our total revenue for Q3 2020 was 46.3 million. This represents an outperformance relative to the midpoint of our guidance. Our total technology revenue for Q3 2020 was 28 million excluding the one-month contribution from our recent Vitalware acquisition, our total technology revenue for Q3 2020 was 27.2 million representing 28% growth relative to the same period last year. Total adjusted gross margin in the third quarter 2020 was 51% an increase of approximately 170 basis points compared to the second quarter of 2020. And our Q3 2020. adjusted EBITDA was a loss of 6.4 million, which also represents an outperformance relative to the midpoint of our guidance and shows an improvement from a loss of 8.4 million for the same period in the prior year. Now, let me transition to some of the highlights from the quarter. You will recall from our previous earnings calls, that we measure our company's performance in three primary strategic objective categories of improvement, growth and scale. And we'll discuss our quarterly results with you in each of these categories. The first category improvement is focused on evaluating our ability to enable massive measurable improvements for our customers, while sustaining industry-leading satisfaction and engagement. I will first share two examples of recently documented customer improvements from newly published case studies. The first improvement than yet, highlights are worked with one of our customers supporting their journey to financial and operational recovery from COVID-19. While the latter demonstrates that a number of customers have widened their focus and are back to leveraging our technology and services to do meaningful improvement work outside of their COVID-19 responses. First Banner Health leveraged our solution, including our data platform, and our COVID-19 elective surgery impact analysis application to visualize the impact of canceled surgeries on revenue and develop a data informed recovery plan through integrated clinical, financial and operational data and analytics. This allowed Banner to safely resume more than 3000 cases, resolving 32% of the perioperative services backlog and recapturing millions in revenue. Next, let me highlight a recent improvement at Multicare Health System from their work outside of the realm of COVID-19. Multicare leveraged our solution including our data platform, and leading wisely analytics application to develop a system wide data informed approach and standard improvement methodology to address their hospital length of stay challenges. These improvement efforts resulted in 24 million in documented customer savings, the outcome of a 0.6 day reduction in length of stay system wide across Multicare. Our next performance measurement category is growth, which we define as adding new customers, while also deepening existing customer relationships. In the growth category, with COVID-19 as a backdrop, I'll share a detailed update on the state of our company, along with some broader perspectives about how the healthcare delivery ecosystem has adjusted to the temporary new normal operating environment. First, I would share that our perspectives on the current operating environment are largely consistent with the detail we shared on our Q2 2020 earnings call. The start, I would underscore that the current COVID-19 surge likely indicates that our country and national healthcare system will be under continued meaningful strain over the coming months. We continue to do everything in our power to support our customers to ensure they successfully manage through this unprecedented time. That said, we continue to be encouraged, as we witness meaningful evidence that the health care provider ecosystem is better equipped and prepared to respond to the ongoing pandemic, including its treatment efficacy, supply chain logistics, capacity planning and broader operational optimization. Lastly, we see additional reasons for optimism over the medium term, as we anticipate more scientific progress, including progress on a vaccine and improved treatment efficacy related to containing the COVID-19 pandemic. Now, let me provide some commentary on what the current operating environment means for our business in the near-term. First, we are fortunate to have a highly recurring revenue model in which greater than 90% of our revenue is recurring in nature. This model means that the near-term impact of COVID-19 on our top-line is relatively muted, as evidenced by our strong year-to-date 2020 revenue performance. As it relates to our existing customer relationships. Let me first share some additional detail on our technology. Since the onset of the COVID-19 pandemic, our customers overall usage of our data platform continues to increase and has never been higher. A particular note on our foundational analytics applications, which are crucial components of our COVID-19 technology response have seen a significant increase in usage, resulting in a roughly 40% increase since the onset of the pandemic. I also would highlight that we benefit from a high level of technology revenue predictability, especially our all access to our subscription customers that have built in contractual technology revenue escalators. Additionally, I would share that we have seen usage of our COVID-19 specific products in a number of cases, meaningfully shift from those focused on COVID-19 preparedness to those focused on financial recovery and planning analytics in areas such as elective procedures, ambulatory care and revenue cycle. Given all these factors, we would anticipate strong full year technology dollar-based retention performance, similar to historical levels. Moving on to professional services, we continue to see high levels of engagement of our team member base, which remain engaged on both COVID-19 recovery work, as well as focusing on more general clinical, financial and operational improvement work. That said, consistent with what we discussed on our last earnings call, the financial strain imposed by COVID-19 on a number of our customers, has led to a lower year-to-date professional services dollar based retention and we would expect to have a meaningfully lower, full year 2020 professional services dollar based retention, than we have achieved historically. Now, let me transition to providing some commentary on new DOS subscription customer additions in 2020. First, I would share that the additional context we will provide is consistent with the details we provided on our Q2 2020 earnings call. As a reminder, we were pleased to sign multiple new customers in the first half of 2020. But as a result of COVID-19, the number of new customer additions was lower than we originally anticipated entering the year. As we've entered the second half of 2020, we have been pleased to see healthcare organizations adjusting well to the new normal operating environment, with COVID-19, significantly highlighting the need for a more robust commercial grade data and analytics solution. On the other hand, COVID-19 continues to create some near-term financial uncertainty, making some health systems more cautious in their near-term purchasing decisions. Given these competing factors, we have continued to see our second half pipeline and conversion rates progress, similar to the second half of 2019. Thus, we feel confident about the expectations we shared on our previous earnings call of high single digit net new DOS subscription customers for full year 2020. Moving on to the longer-term impact of COVID-19, I would share that we cannot think of any event in recent history that has galvanized the awareness and importance of data and analytics more than COVID-19. And thus, we believe it will serve as a meaningful tailwind in the industry's adoption of data and analytics. And at the health system level, we are seeing meaningful evidence that COVID-19 is highlighting the need for a commercial grade data and analytics solution to replace patchwork homegrown systems. Also in the context of our growth efforts, let me mention that we hosted our seventh annual healthcare analytics summit in September while the format was virtual. This year's conference was a meaningful opportunity for Health Catalyst to continue to provide thought leadership within the healthcare data analytics ecosystem. And also carefully listen to our customers and prospects as we further cultivate and deepen those relationships. We viewed this year's summit as a significant success with record registration of more than 3500 attendees and some of our highest attendee satisfaction scores. Next, let me share some brief commentary on our recent acquisitions. While we are still early in the integration process, with both the Healthfinch and Vitalware transactions closing in the last couple of months, we are pleased to share that our integration efforts including team member, technology and sales are progressing well and are in line with our expectations. Likewise, our acquisition of Able Health from February is largely integrated from a technical perspective. And we are pleased with the early market receptivity we are seeing for the consolidated product offering. More broadly, as we heard countless times at our healthcare analytics summit existing and prospective customers are enthusiastic about the increased breadth of our offering following these acquisitions. I'm also happy to share some new leadership promotions connected with our annual planning process and in response to the company's continued growth and expansion. We are pleased to announce the introduction of the role of President at Health Catalyst, with responsibility for all the major growth functions of the company, including with existing clients, new clients, international expansion, sales, operations, marketing and communications. This role will report directly to the CEO and will have responsibility for overseeing our anticipated growth and expansion in the years ahead. The introduction of the role of President has been under consideration for over a year, as we have continued to grow and scale and as we anticipate sustained high growth for many years to come. During this year's planning process, after multiple discussions with our board and with other senior leaders, we determined that this year would be the right time to introduce this role. As a result of an interview process that involves numerous Health Catalyst's leadership team and Board Members, we are pleased to announce the promotion of Patrick Nelli, Health Catalysts current Chief Financial Officer to the role of President effective January 1, 2021. Patrick joined Health Catalyst in 2013. After having filled roles and healthcare investment banking at McColl Partners, and in private equity at GTCR. At Health Catalyst, Patrick first built the company's internal analytics group, and then built the company's benchmarking product line named Touchdown. In 2017, Patrick was promoted to Chief Financial Officer of Health Catalyst, responsible for the finance accounting, Investor Relations, human resources IT and real estate functions. During Patrick's tenure as Chief Financial Officer, he played a central leadership role in the company's IPO in July 2019. Patrick has also for a number of years, been involved in supporting the company's growth initiatives with existing and new customers, including serving on customers executive governance committees, and acting as an executive sponsor for a number of Health Catalyst's largest customer relationships. Patrick has a degree in physics with a concentration in biophysics and biochemistry from Wake Forest University. During the past seven years, I have worked with Patrick on a wide variety of strategic and operational issues. Through these interactions, I've come to appreciate Patrick's character and leadership capability. I have tremendous respect for Patrick's intellectual capacity, his strategic prowess, and his boundless energy, and he has earned my trust, as he continues to demonstrate his deep commitment to our company's mission, operating principles and cultural attributes. Patrick has my full support and confidence and the unanimous support and confidence of our Board of Directors. I look forward to continuing to work closely with Patrick during the years to come. Patrick's promotion to the President role also necessitated company selection of its next Chief Financial Officer. We followed a very similar process in the selection of our next Chief Financial Officer as the process we followed in the selection of the President, including forming an interview team, interviewing multiple candidates, coming to a unanimous recommendation, reviewing with our Board, and receiving full support to extend and offer which has been accepted. I'm pleased to announce the promotion of Bryan Hunt, Health Catalyst, current Senior Vice President of Financial Planning and Analysis to the role of Chief Financial Officer, effective January 1, 2021. Bryan has been with Health Catalyst for over six years, having worked closely with me, with Patrick and with many other leaders across the company. During Bryan's tenure at Health Catalyst, he has served in leadership roles in the finance organization, including Vice President and Director of Financial Planning and analysis, along with serving in our internal analytics function. Prior to joining Health Catalyst in 2014, Bryan gained experience as an investment banker with Deloitte Corporate Finance and with Moelis & Company. Bryan holds a bachelor's degree in accounting from Brigham Young University. I have also had the benefit of hundreds of interactions with Bryan during the course of many years. And from these interactions, I have developed significant respect for Bryan, and confidence in his ability as a leader, and as a financial steward, who understands our business at a deep and multifaceted level. Bryan has my full confidence and support along with that of our Board of Directors to receive this additional responsibility. And I look forward to working closely with Bryan in the years ahead. Bryan has joined today's earnings call, and will be leading the financial sections of future earnings calls, beginning with our Q4 earnings call early in 2021. I'm also pleased to announce two additional promotions related to these announced changes. Jason Alger, our Senior Vice President of Finance has been promoted to Chief Accounting Officer and Adam Brown, our Senior Vice President of Investor Relations, has been promoted to Senior Vice President of Investor Relations and Financial Planning and Analysis. Jason and Adam have each been with the company for more than five years, and have each demonstrated their extraordinary capabilities during their Health Catalyst tenure. We are fortunate to continue to benefit from their expertise, dedication and leadership as respected teammates and colleagues. Each of these promotions will be effective January 1, 2021 and will contribute to our continued ability to grow and scale as an organization. Lastly, before I turn the call over to Patrick, I would like to share that Mike Dixon will be completing his service on our Board of Directors effective December 31. I want to take this opportunity to share my heartfelt gratitude for Mike. And it's more than nine years of impactful service on our Board. Mike and I are two of the original Board Members from the fall of 2011, when the company first organized the Board of Directors, and it has been an honor to serve alongside Mike over the past decade. Without Mike's countless contributions to our company over many years, starting in its very early stages. I am certain that we would not be where we are today. Patrick?
Patrick Nelli: Thank you, Dan. Before diving into our quarterly financial results, I would like to echo Dan's sentiments and say that I'm pleased with our third quarter results, especially in light of the macro-economic backdrop and COVID-19 pandemic. Now let me comment on our performance measurement category of scale. For the third quarter of 2020. we generated 47.2 million in total revenue, excluding the one-month contribution from our recent acquisition of Vitalware, total Revenue was 46.3 million. As Dan mentioned, this represents an outperformance relative to the midpoint of our guidance, and it represents an increase of 18% year-over-year. The year-over-year growth was driven primarily by recurring revenue from new customer additions from existing customers paying higher technology access fees as a result of contractual built-in escalators. Technology revenue for Q3 2020 was 28 million excluding the one-month contribution from our recent Vitalware acquisition, our total technology revenue for Q3 2020 was 27.2 million representing 28% growth relative to the same period last year. Professional services revenue for Q3 2020 was 19.2 million both before and after excluding the one-month contribution from our recent Vitalware acquisition representing 5% growth relative to the same period last year. This growth is primarily due to our services being provided to new DOS subscription customers and expanded deployment of services with existing customers. That growth was partially offset by lower professional services dollar-based retention achieved year-to-date relative to historical performance due to COVID-19 and some spillover from temporary professional services discounts provided to support our customers through the near-term financial strain they have experienced related to COVID-19. Total adjusted gross margin in the third quarter was 50.7%, this represents an increase of approximately 170 basis points, compared to the second quarter of 2020 and a decrease of approximately 300 basis points year-over-year. On the technology side, our adjusted gross margin was 68.4%, roughly flat year-over-year. This year-over-year performance was mainly driven by headwinds due to the continued costs associated with transitioning a portion of our customer base to third-party cloud hosted data centers in Microsoft Azure, offset by existing customers paying higher technology access fees from contractual built-in escalators without the corresponding increase in hosting costs. And on the professional services side, our adjusted gross margin was 25.1% this represents a decrease of approximately 1150 basis points year-over-year and an increase of roughly 410 basis points relative to Q2 2020. This year-over-year decrease was mainly the result of the previously mentioned COVID-19 impact on our professional services dollar-based retention. The previously mentioned spillover temporary professional services discounts due to COVID-19 as well as some shifts in the mix of professional services delivered. In Q3 2020. adjusted operating expenses totaled 30.4 million, as a percentage of revenue, adjusted total operating expenses were 64%, which compares favorably to 75% in Q3 2019. Adjusted EBITDA in Q3 2020 was a loss of 6.4 million, which compares favorably to an adjusted EBITDA loss of 8.4 million in the third quarter of 2019. As Dan mentioned earlier, we are pleased to report that we outperformed the midpoint of our guidance. This adjusted EBITDA performance was mainly driven by the revenue outperformance mentioned previously, expense management efforts, as well as some non-headcount expenses that we anticipate will be pushed out into the fourth quarter of 2020. Our adjusted net loss per share in Q3 2020, was $0.21, the weighted average number of shares used in calculating adjusted net loss per share was approximately 40.3 million shares. Turning to the balance sheet, we ended the third quarter of 2020 with 275 million of cash, cash equivalents and short-term investments compared to 228 million at year end 2019. As a reminder, in April 2020, we issued a private placement of convertible notes with a principal amount of 230 million and we used a portion of the proceeds to extinguish an outstanding term loan. After deducting the unamortized debt discount related to the conversion feature of 59 million an unamortized issuance cost of 5 million, as of September 30, 2020, the net carrying amount of the liability component of the convertible notes is 166 million. As it relates to our financial guidance, for the fourth quarter of 2020, we expect total revenue between 50.5 million and 53.5 million and adjusted EBITDA losses between 7.3 million and 5.3 million. In terms of our Q4 2020 guidance, we anticipate Vitalware will contribute a little over 4 million in revenue, inclusive of a purchase accounting related deferred revenue write down. Breaking down the remaining revenue growth expectations, we expect technology year-over-year revenue growth to continue to be very robust. While, we anticipate professional services year-over-year revenue growth to be slightly negative. The anticipated professional services year-over-year growth rate is a result of less implementation revenue due to lower first half 2020 new customer additions as well as the previously mentioned, lower professional services dollar-based retention, which we anticipate will be in the low to mid 90s in the full year 2020 due to the negative impact of COVID-19. This Q4 2020 guidance leads us to raise our full year 2020 guidance as follows; total revenue between 186.1 million and 189.1 million at their respective midpoints. This represents an increase of 8.4 million compared to the full year revenue guidance we shared last quarter. Adjusted EBITDA losses between 23.9 million and 21.9 million at their respective midpoints. This represents an improvement of 1.1 million compared to the full year guidance we provided last quarter. Lastly, while we acknowledge that the fluidity of the current environment makes it challenging to precisely forecast, we would like to share a few preliminary observations related to 2021 revenue growth from where we sit today. We would like to ensure a clear understanding of the 2021 revenue impact resulting from COVID-19 impact on our previously shared 2020 bookings estimates, as well as our estimated 2021 revenue contribution from Vitalware. Under normal circumstances, we would have expected our total 2021 annual revenue growth rate, including Vitalware to be 25 plus percent. Given the impact of COVID-19, on our 2020 bookings, however, we expect our total GAAP revenue including Vitalware to grow at a slower pace in 2021, at approximately 20%, consistent with what we shared on our Q1 2020 earnings call, because we are a recurring revenue subscription business model. Mathematically, this means that our bookings metrics, both new customer additions and dollar-based retention, our forward-looking metrics, these metrics will impact both in-year revenue as well as the following year's revenue. Given that new recurring revenue contracts are recognized ratably over the course of a year from their signing date. Thus, we anticipate that lower performance on our first half 2020 new client adds, and full year 2020 professional services dollar-based retention will negatively impact our 2021 core business revenue growth rate. We expect the largest COVID-19 impact on 2021 revenue will be on our Q1 2021 professional services revenue year-over-year growth rate, given this quarter is comparing to a year ago quarter where revenue was not materially impacted by COVID-19. While the 2020 COVID-19 bookings impact has an inherent effect on our 2021 revenue growth, given the recurring nature of our revenue model, we believe the fundamentals of our long-term revenue growth remain intact. Therefore, we are reiterating our long-term revenue growth target of 20 plus percent. With that, I will conclude my prepared remarks. Dan?
Dan Burton: Thanks, Patrick. I'll conclude my commentary by thanking our committed and highly engaged team members. These teammates and colleagues have worked tirelessly over the last several months in support of our heroic health system customers in response to COVID-19. And I've never been more proud to be associated with these teammates, as we work together to fulfill the company's mission, a mission that is more relevant and important now than ever. And with that, we'll turn the call back to the operator for questions.
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Robert Jones from Goldman Sachs.
Robert Jones: Congrats to Patrick, Bryan and Adam for the elevated roles. Yes, I guess, Patrick, just at the end there. You made some comments and preliminary thoughts around 2021. If I heard you correctly, it still sounds like you're expecting high single digit DOS adds for 2020. And I thought you said, Dan, in the prepared remarks that the pipeline was behaving like it did in the back half of last year and the back half of this year, if I heard that correctly. So I guess the question we are just trying to put those two comments together, how are you thinking about the potential or the opportunity for new DOS adds, as we get into 2021, is it the assumption that we shouldn't be thinking about next year being a more normal year? I know we used to target mid-teens adds in a normal year. Is the message tonight that we're really thinking about next year just given the prolonged COVID environment to be more similar to 2020?
Dan Burton: Yes, thanks for the question, Bob, and for the congratulations, much appreciated. I will share couple of thoughts, and then Patrick, please feel free to share additional thoughts. So I would reinforce what you shared that as we are observing the second half of 2020 pipeline, it continues to feel very much like the second half of 2019 pipeline pre-COVID. And what we have observed and we reinforced this in our prepared comments as well, is that in the first half from a sales perspective, we did experience a lower performance relative to what we had anticipated, as a result of COVID. But importantly, we do observe from where we stand right now, that second half pipeline performance is performing very much like what we experienced pre-COVID. And from where we sit right now, we would anticipate that that would continue, but with the note that this is a fluid environment, that we continue to monitor exactly how this will play out. But we did want to try to be transparent and sharing some preliminary observations, as we are a highly recurring revenue model. And what happens in 2020, does directly impact what will play out on the P&L and from a GAAP revenue perspective in 2021. Patrick, what would you add?
Patrick Nelli: Yes. The only item I would highlight is the difference between 25 plus percent growth in a year that did not include COVID but included Vitalware and approximately 20% growth in 2021, that we shared in our prepared remarks are primarily two factors. It's fewer new DOS subscription adds in the first half of 2020, and a lower full year professional services, dollar-based net retention in 2020, just given how they flow on to the income statement in 2021.
Robert Jones: Okay, great. I appreciate the fluidity of the situation. I guess maybe just to take a step back then, into the quarter, I believe you announced your first Middle East customer. I know international sounds like it's a bigger focus, given the new role -- expanded role of President and that being a focus of that role. Just may be a little bit on the international opportunity, as we look out a little further, what should we expect here, will this be a bigger piece of the growth outlook going forward?
Dan Burton: Yes. So thank you for that additional question. We were excited to sign that contractual relationship in the Middle East with Saudi German Hospital. We have made some modest investments in our international expansion. But I would reiterate what we shared in the past with regards to our adjacent market investments that they've been modest. And that we have realized that takes time for those investments to really bear fruit. And so I would suggest that there's still more time before these investments would become a material part of our income statement.
Operator: Our next question comes from the line of Anne Samuel from JPMorgan.
Anne Samuel: Congrats to Patrick on the promotion. Even my first question is, as we think about next year, you outlined some of the moving pieces of revenue growth, but was wondering, how should we think about the puts and takes at the margins? Are there any headwinds or tailwinds that we should be aware of, should the mix-shift impact the margins as well?
Patrick Nelli: Yes. Happy to take that one. And Anne, thank you for the congratulations. So as far as our gross margins go on the tech side, as you've seen, those were in the mid-60s from a tech gross margin perspective a couple years ago. They've moved up to the high 60s, we would expect for our tech gross margins to stay roughly flat over the next several quarters, given previous dynamics that we've discussed before. On the professional services side, professional services gross margins have been in the 20s this year, and we'd expect professional services gross margins to continue to be in the 20s for the next several quarters. We would expect our technology revenue to grow faster than our professional services revenue. And that means from a mix perspective, a higher mix of tech revenue obviously helps our overall gross margins. So we would expect our overall gross margins to be flat to slightly up over the next several quarters.
Anne Samuel: That's very helpful. Thanks. And then, just one on housekeeping, I was wondering how much acquisition contribution that you saw, was it a one-month, what's embedded in the fourth quarter and looking to next year, is it fair to think that that kind of 500 basis point delta between the total and the income of 20% historical rate is related to acquisitions?
Patrick Nelli: And yes, happy to talk about the acquisition impact, we shared that it was approximately -- Vitalware's acquisition impact on revenue in Q3 was approximately 900k. It's approximately 4 million in Q4 guidance. And as we look to next year, it's roughly 20 million from a GAAP revenue impact perspective, just given the deferred revenue write down, that always occurs with SaaS acquisitions.
Operator: Thank you. Our next question comes from the line of Ryan Daniels from William Blair. Your question, please.
Ryan Daniels: And I'll add my congratulations to the team on their promotions. Two follow ups here, number one, in regards to the relationship over the Middle East kind of interesting as you've got a third-party consultancy, it's going to be working with the partners there and your operating platform. So I'm curious, in that regard, number one, if that's an opportunity going forward for them to kind of also help sell your solution set to other healthcare entities in the Middle East? And number two, how do you ensure that the clients get the maximum value from the DOS platform given that it's now a third-party more on the services front kind of managing the use of the analytics to improve quality of care and outcomes and financial results? Thank you.
Dan Burton: Thank you, for the congratulations, Ryan, thank you for those two questions. So as it relates to that announced relationship in the Middle East, there is a component of that relationship where we're going to be partnering with top men in the delivery and implementation of much of the services related items associated with the implementation of our technology, and then use of that technology to drive measurable improvements. And this was part of the reason why we could get to a comfort level in moving forward, even though we have a very modest presence in the Middle East. And so, leveraging a partnership where there's an organization that is located there, understands the region and can partner with us first, in the delivery of have a successful relationship with Saudi German Hospital. But also to your question, we do anticipate leveraging this partnership in the future. And we're going to invest extra time to try to ensure that each of our clients continues to realize those massive, measurable improvements that are at the heart of our strategy as a company. So we're investing extra time in this partnership, we spent a good deal of time researching and confirming that we felt good about this partnership. And as a result and in future potential engagements, we'll keep that focus on ensuring that those clients realize massive, measurable improvements.
Ryan Daniels: Greta. Thank you for that. And one follow-up on the sales front, maybe for Patrick. It's interesting, I completely appreciate the COVID-related impact on the pipeline and services revenue, if we look forward, however, and things hopefully normalize in the marketplace, and analytics growing importance. I'm curious if you think you can reaccelerate the sales cycle even more rapidly, particularly given some of the M&A activity you've done, which offers the opportunity for both upselling and cross selling, which you might not have had over the last few years, at least to this level. So it seems like with the importance of analytics, and with arguably more shots on goal, you could see an acceleration in growth above and beyond what normally might be the case into 2022/2023. Would you have any thoughts on that?
Patrick Nelli: Yes. Thank you, Ryan. So to your point, we do believe this pandemic highlights the need for data and analytics, potentially more so than any other event in recent history. And we are also excited about the cross-sell potential from recent acquisitions that we've made also to your point. That said, we like to be data informed when we think about communicating our expectations for performance. And we'd certainly want some more time to go by before speaking too much about forward out years.
Operator: Our next question comes from the line of Jessica Tassan from Piper Sandler.
Jessica Tassan: And congratulations on the promotion to everyone. And so, I think we were interested to know, just how the DOS light solution, I think it was introduced relatively recently how that's performing in the market. And if you could just speak to what percent of the pipeline is maybe comprised of DOS light versus all access, and if it's changed the sales cycle that you've observed year-to-date at all?
Dan Burton: Thank you for the question, Jessica. What I would share is that we did introduce the solution that included the concept of a light version of DOS. That was a little earlier than we had originally planned. But it was in response to the COVID-19 pandemic. And we wanted to be responsive and provide every meaningful service solution that we could. So we are early in that process. And we have a pipeline that is developing and has developed as it relates to that DOS light version. But we continue to see our pipeline, in the second half in particular, performing at about the right at the same cadence that we've seen in the past. And so we're still early in the process of really understanding if there are any differences as it relates to how the pipeline conversion, or the sales cycle will play out. But we should have more data over the next several quarters about that.
Jessica Tassan: Okay, awesome. And then, just one follow-up would be -- could you talk a little bit about your role or potential role in vaccine distribution? I think you guys pivoted pretty quickly, with respect to COVID and capacity planning to just any solution that you're working on or anticipate being able to modify to help with the vaccine distribution, when it's eventually available.
Dan Burton: Yes, thank you for that additional question. We're obviously encouraged by some of the recent news with regards to vaccine development and potential pending approvals. And as we have in other ways in response to the pandemic, we do anticipate providing meaningful analytics support and planning support as it relates to the distribution process for each one of our health system clients. We already have an infrastructure in place at the data platform layer, and at the apps layer that can be customized and modified towards that specific end. So we do anticipate that we will play a meaningful role from an analytics support perspective.
Operator: Thank you. Our next question comes to the line of Sandy Draper from Truist Securities.
Sandy Draper: I'll echo congrats all around to everyone. Some great promotions. And I'd also say Dan, nice to see all internal really, I would think would boost the spirit to people seeing the upward mobility within the company. So nice shot there. I did get on a little late to I'm not sure I caught the tail into some of Patrick's comments. But I was trying to understand the outperformance in the third quarter. The same comments about sales. I'm just trying to understand, if sales didn't pick up. What caused the outperformance not just, I think you said $1 million from the acquisition but outperformance relative to expectations if there wasn't sales and just trying to sort of bridge that better number in the quarter, but not talking about better sales environment. Thanks.
Patrick Nelli: Yes, of course, Sandy, and thank you again for the kind words. So when we think about outperforming over a short time period, it is from us closing new business earlier than expected or expanding within our client base earlier than expected those are typically the two largest drivers. And I would say that the largest driver this past quarter is our technology dollar-based net retention performing very robustly. It is performing strong similar to performance a prior years. And one of the reasons that is because the use of data and analytics is extremely valuable during this pandemic. And the usage of our software is up 40 plus percent since the onset of this pandemic.
Dan Burton: Sandy, I might also add just to your first comment thank you for calling out that what we have announced is meaningful opportunities for individuals to be promoted from within the company. And that is certainly a part of our long-term strategy. And our focus on team members is, we want every team member to feel like they have a bright future and an incredible career path. And so we do have a default position that we're excited to see existing team members qualified for promotions. It isn't the case in every circumstances. But we are excited when that occurs and that is our default position. So thanks for calling that out.
Operator: Thank you. Our next question comes from the line of Elizabeth Anderson from Evercore. 
Elizabeth Anderson: Congratulations on the promotion. My question is on the cash balance in the quarter. I was just wondering how you guys are thinking about that in terms of the obviously ongoing current COVID situation? And what opportunities might that present, both in terms of contributing some cash, but also in terms of potential acquisition opportunities?
Patrick Nelli: For sure. Thanks, Elizabeth. So to your point, we have approximately 275 million of cash and cash equivalents. And there is not a significant amount of cash needed for ongoing operational needs. Since we continue to expect to begin 2022 on a run rate adjusted EBITDA breakeven basis. So given that the vast majority of cash can be leveraged for M&A purposes, and as we've shared previously, we continue to believe we have significant opportunity on the M&A front, we will be disciplined, but we're excited to have the cash to be active on that front.
Elizabeth Anderson: Okay, perfect. That sounds like no change from your prior operating philosophy. So that's, that's helpful to hear. And then, my second question is, in terms of, you were very clear and sort of talking about the revenue contribution from Vitalware, but I was thinking, if you could comment on the impact of revenues in the quarter from Healthfinch and Eagle Health, just in terms on the revenue line? That would be helpful. Thank you.
Patrick Nelli: Happy to. So as a reminder for everyone, we closed two other acquisitions, Able health and Healthfinch earlier this year at various points in time. Those were for much smaller purchase prices than Vitalware and primarily a technology and enablement thesis around M&A for those acquisitions. So we shared that they had at time of deal and immaterial impact on our GAAP revenue in 2020. And would continue to share that information given their kind of much smaller and more focused on product enablement. Their revenue contribution is a good bit smaller.
Dan Burton: I would add, at the same time, Elizabeth, that we are encouraged by some of the early signals from our customers with regards to the cross-sell opportunity of these additional solutions. But we do expect that will take a number of quarters to play out.
Operator: Thank you. Our next question comes from the line of Stephanie Davis from SVP Leerink.
Stephanie Davis: And again, let me add to the congratulations, Patrick. Last we spoke, your team was founding a pretty dire note for second half professional services. But looking at the 4Q guidance, it came in much better than expected. Could you walk us through maybe what changed that made you get more comfortable with this sort of uptick or kind of any change in viewpoint on the headwinds in the environment.
Patrick Nelli: Of course, happy to share additional color there. To your point we have shared for the last several months, that our professional services dollar-based net retention, we expect it to be lower than historical levels in 2020.  In the prepared remarks, we shared that we would expect it to be in the low to mid 90s. So we wanted to quantify that a little bit more for investors. So I would say it's been a relative consistent performance compared to expectations at least for the last few months, where we have been performing quite well. And I would say better than our expectations as of a few months ago is our technology revenue line. Our technology dollar-based net retention has been minimally impacted from the onset of this pandemic, we'd expect it to be roughly similar to past years, given just the usages of our software has never been higher. So the outperformance is primarily on the technology side.
Stephanie Davis: Understood? And then, I guess now that you've had the seat officially for, I guess it's been announced for about two hours now. Could you walk us through your priorities for your first year? And then, newly created presidency, what are your goals for the role?
Patrick Nelli: Yes, happy to share some thoughts.
Stephanie Davis: Two hours is a long time to think of it.
Patrick Nelli: One, I'm personally very excited for us to continue to fulfill our mission and help ultimately accelerate a future where all healthcare decisions are data informed. We I think are in the very early stages of the healthcare ecosystem, adopting data and analytics, and I want to help us get there faster. And to help with that adoption -- help that adoption accelerate. We also at Health Catalyst sit in a very strategic position, in the sense that we can help our customers find insights in all types of data. And that gives us a lot of expansion potential to help customers generate more value from data informed insights across their business. So I am personally very excited for that, as we think through to 2021, we have shared that we believe the impact of COVID is a medium to long-term tailwind, that it highlights the need for data and analytics. So we want to be ready and invest ahead of getting ahead of that tailwind that we believe COVID creates.
Dan Burton: And Stephanie, I would just reinforce that, as I mentioned in our prepared remarks, we've been considering the timing of the introduction of the President role for over a year now. And to Patrick's last point there, I think, the sense that we're heading into a year in 2021, where we may well start to feel the effects of some of those medium term tailwind was definitely informing my discussions with the Board and our decision as a full Board to move forward with this position. So that we're in in the best possible place to accelerate that tailwind and enable greater adoption of data and analytics. And we're excited to see that play out.
Stephanie Davis: Given the magnitude of that opportunity, does Patrick need to hire more folks underneath him, or do you think this is something that just adds a little bit more structure to the thought process?
Patrick Nelli: Yes. I'm happy to provide some thoughts there. We have shared before that we have made significant investments in building out a robust sales and marketing infrastructure to be able to sell a fairly high dollar product to the C-suite at these large organizations. So given we have made significant investments in sales and marketing, we feel like a large number of those investments can be leveraged over the next several years.
Operator: Thank you. Our next question comes from the line of John Ransom from Raymond James.
John Ransom: So just a couple of questions for me. As we think about the long-term growth and mix of your business, is there anything change positive or negative in your path to EBITDA positive in the future?
Dan Burton: No. We continue to feel very good, John, about what we've shared previously, that we plan to begin 2022 on a run rate adjusted EBITDA breakeven basis and we're continuing to plan towards hitting that same time horizon. As Patrick mentioned earlier, we are starting to observe and expect that over the next few quarters, we may see our picks of revenue, skew a little bit more towards technology growth and a little less from a services perspective. And we expect with the various puts and takes that that would keep our gross margin profile neutral to slightly positive.
John Ransom: Thank you. And second question would be as you think about your R&D. And you think about any product holes that you might have. Where should we think about you investing either M&A or R&D over the next two or three years, that might be the same or different than where you have invested in the past.
Dan Burton: I would reinforce we're following the same model that we've discussed in the past and that is focused in two primary areas. So the first is at the apps layer, where we continue to benefit from lots of interactions with our clients and an understanding of which app categories whether they're clinical, financial, or operational categories, really yield the greatest opportunities for measurable improvement. And as we identify areas that our clients consistently are asking for help, and we identify gaps in our technology offering that will inform both our R&D investment decisions, as well as our M&A decisions, that would be the first major category. The second major category of M&A, as we've discussed previously, would be to accelerate our performance and our presence in adjacent market areas. And as we discussed in the past, two of those areas that we focused on have been life sciences and international. So that will continue to be part of our framework for M&A moving forward. And I would conclude this answer by just reemphasizing something that Patrick mentioned, which is, we also feel it's very important for us to remain disciplined and evaluating opportunities and ensuring that we feel very good before we move forward as the integration process is significant. We understand that, and so we'll try to remain disciplined in what we pursue.
Operator: Thank you. Our next question comes from the line of David Grossman from Stifel.
David Grossman: You guys did a great job of just articulating, kind of the current trends of the business and how that may impact not only the fourth quarter, but next year. So based on what you've described, is it logical to assume that this professional services growth in the first quarter would probably look similar to the fourth quarter and then improve as the comps ease? Well, tech revenue would be off modestly next year, but probably a little more heavily weighted to the first half just to reflect that one half, '20 bookings experience?
Patrick Nelli: Yes, David, you are generally thinking about that trend correctly. On an overall note, we would expect 2021 annual professional services revenue growth, but it could be below the overall 20% estimate. And on the technology side, we would expect robust 2021 revenue growth, just like we've seen robust 2020 technology revenue growth.
David Grossman: So the 4Q, kind of implied tech growth is a good proxy for kind of the momentum you bring into 2021.
Patrick Nelli: Yes. As we think, more specifically about 2021, we want to wait another quarter or so before providing too much detail into the exact makeup of 2021 overall revenue. But I would share that we would expect overall or technology 2021 year-over-year, revenue growth, roughly similar to technologies 2020 annual revenue growth. And similar on the professional services side, we'd expect 2021 annual professional services, revenue growth to be similar to 2020 annual professional services revenue growth.
David Grossman: Okay, got it. Thanks. Very helpful. Thank you for that. And then, god forbid, we have a second wave. I mean, do you have a thought or some insight into what the impact would be on your business compared to the first, do you think your client base is really kind of adjusted to that shock? And if there were a second wave that they would probably not have the type of disruption on your business than the first wave had?
Dan Burton: Yes. Great question, David. We do feel that our clients are better prepared now, certainly, than they were. Really the past two waves that we've experienced and we even saw a meaningful improvement in preparedness and the infrastructure that was in place between the first wave and the second wave that we experienced in the summertime. Likewise, we're encouraged to see significant scientific advancements in the use of therapeutics that have been very effective. And we've been directly involved in some of the research associated with those therapeutics through our touchstone activities with various national organizations. So that's another component that I think helps us and then that certainly further helped by the progress overall with regards to vaccines. And so while we recognize that this is a fluid situation, we're staying very closely in communication with each of our clients. In almost every case, we feel much better prepared with our clients to handle this next few months.
Operator: Thank you. Our next question comes from the line of Glen Santeangelo from Guggenheim Securities.
Glen Santeangelo: Dan, I just want to follow up on some of your prepared remarks that you made with respect to the dollar base retension. I think if I heard you correctly, you seem to suggest that the dollar-based retention would be normal on the technology side, below or on the professional services side. And I wonder if you can help us maybe compare that to the 107% to 109% retention you had over the three prior years. And I'm trying to think about that retention rate, and reconcile that against Patrick's comments with respect to the 2021 revenue growth particularly x the acquisition contribution. So any sort of clarification or [poll] [ph] you can give us on that? Thank you.
DanBurton: Yes. Thank you for the question, Glen. So I will share that, prior to 2020, what we have shared in the past has been a general observation that in prior years, we had observed that the tech and services dollar-based net retention percentages were roughly similar to the overall performance, we didn't observe significant differences between tech and services. That is not the case in 2020, we see a meaningful difference between our tech and services dollar-based retention. And to Patrick's earlier comments, we wanted to be transparent and helpful in quantifying what we're observing on the services side as a meaningful difference this year, versus what we've experienced in prior years. I would also reinforce the comments and the observations that you made that were also supported by our prepared remarks, which is that our technology dollar-based retention, has been strong and robust and consistent with what we've seen in prior quarters and as Patrick mentioned, a few minutes ago, if we rewound the clock and thought about what we might have projected, we're performing a little ahead of what we would have projected from a technology, dollar-based retention, and really not seeing any degradation as it relates to our 2020 performance relative to prior years and we expect moving forward. As Patrick mentioned a few minutes ago that because we are a recurring revenue business model and so much that happens this year, we will play out next year, we would expect those 2021 revenue, dollar-based retention numbers to play into the revenue growth rates that you might expect for technology and for services in 2021, to look very similar to the revenue growth rates that we're observing in 2020 for tech and services, which are different, whereas in prior years, they've been more similar.
Operator: Thank you. Our next question comes from the line of Sean Dodge from RBC Capital Markets.
Sean Dodge: Maybe going back to the non-headcount expense items, the ones, Patrick, you mentioned being pushed into the fourth quarter. Can you give us just a couple examples of what those are, maybe some bookends around the magnitude? And then just some thoughts on are they recurring; are these some things we should expect to carry into next year?
Patrick Nelli: Yes. I'm happy to provide some color. So the significant majority of our expenses are salary and benefits related, team member headcount related. However, we do have minority but a material portion of our expenses that are associated with third-party contractors, or third-party sales and marketing type expenses. Those are the non-headcount expenses, I was referring to. These can be the swing in any one quarter can be up to a few million, just given that the way we manage the business, as far as expense management goes, is typically on an annual basis. So we enable managers to move non-headcount expenses between quarters. And that can lead to slight differences in expectations, versus actuals in non-headcount expense in any one quarter.
Sean Dodge: Got it. Okay, that's helpful. And then, the transition of your hosted clients to Azure. Can you give us a quick update on progress there? Are those migrations on track? Is there been any disruption in that from the pandemic? And then, maybe just a quick reminder, when you expect that to be complete?
Dan Burton: Yes, happy to Sean. So the pandemic did slow that migration down a little bit. But we're seeing more of the us being back to a normal cadence in the second half of this year. So we do anticipate that that migration to the Azure environment will continue at a similar pace to what we're experiencing here in the second half. But will still take over the next two years or so, to really complete that migration.
Operator: Thank you. Our next question comes from the line of Brian Hoffman from Canaccord Genuity.
Brian Hoffman: Hey, this is Brian Hoffman on for Richard Close. And following up on Ryan's question, I wanted to drill down a bit more into the lower dollar-based retention that you mentioned in professional services. I'm curious if that's related to the pricing discounts that you have talked about over the last couple of quarters due to COVID? And/or is that related to customers maybe just not renewing their contracts at the same levels? Any color you can provide to help us understand that better would be helpful. Thank you.
Patrick Nelli: Yes, happy to. It is not related to the short-term professional services pricing discounts that we provided to customers. Those mostly impacted our GAAP revenue in Q2, but there was a little bit of spillover in Q3. So the lower professional services dollar-based net retention from a few factors. So first, I would share that the vast majority of our team members continued to be deployed at customers and are helping them with analytics initiatives associated with COVID and other analytics improvements that we're helping to facilitate. That said this year compared to a year ago, there are a select number of customers that are choosing to use a fewer number of services resources than they did a year ago. And also, the onset of this pandemic, causing financial uncertainty for health systems has meant we've had fewer professional services expansion opportunities this year compared to the previous year. So those are the primary drivers of lower professional services dollar-based net retention this year.
Operator: Thank you. Our next question comes from the line of Steve Halper from Cantor Fitzgerald.
Steve Halper: So the 20% number that you talked about, for 2021 revenue growth, I just want to make sure that includes Vitalware, is that correct?
Dan Burton: That is correct, Steve.
Operator: This concludes the question-and-answer session of today's program. I'd like to hand the program back to Dan Burton for any further remarks.
Dan Burton: All right. Thank you again, for your interest in Health Catalyst for your participation in today's earnings call. We look forward to staying in touch in the months ahead. Take care.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.